Operator: Ladies and gentlemen, thank you for standing by, and good evening. Thank you for joining Sohu's Fourth Quarter 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. After managements' prepared remarks, there will be a Q&A session. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Tip Fleming from Christensen. Please go ahead, sir.
Tip Fleming: Thank you, operator. Thank you all for joining us today to discuss Sohu.com's fourth quarter 2012 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; Co-President and Chief Operating Officer, Belinda Wang; Co-President and Chief Financial Officer, Carol Yu. Also with us from Changyou are Chief Executive Officer, Tao Wong; President, Dewen Chen; Chief Operating Officer, Xiaojian Hong; Chief Information Officer, Wendy Pan; and Chief Financial Officer, Alex Ho. And we also have CEO of Sogou, Xiaochuan Wang; Vice President of Sohu and CEO of Sohu Video, Ye Deng. Before management begins their prepared remarks, I would like to remind you of the Company's Safe Harbor statement in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections and therefore you should place no undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the Company's filings with the Securities and Exchange Commission, including its registration statement and most recent Annual Report on Form 10-K. Now, let me turn the call over to Dr. Charles Zhang, Chairman and CEO. Charles, please proceed.
Charles Zhang: Thank you. And thanks to everyone for joining our call. We are pleased to report that Sohu Group ended 2012 with an encouraging fourth quarter. Looking at 2012, despite the slowdown in China's economic growth, I am pleased that the Group's total earning revenues rose 25% year-on-year and it surpassed the $1 billion mark for the first time in our history setting an important milestone for our Group. Our business units, for online video, we achieved initial success of our newly established but dedicated sales team as the business returned to growth in the fourth quarter. We expect the performance to further to accelerate in 2013. Sogou once again achieved triple digit year-on-year revenue growth in 2012 and we were thrilled with some notable breakthrough products on the mobile side that have been well received by our users. For Changyou, strong performance from both MMO and the web games helped have post the new records for revenues. Now I would like to share some fourth quarter financial highlights with you, first; record total revenues and record revenues in brand advertising, Sogou and online game businesses. Total revenues were $299 million, up 22% year-over-year and 5% quarter-over-quarter, exceeding the high end of our guidance by $6 million. Net brand advertising revenues were $82 million, up 6% year-over-year and 5% quarter-over-quarter. Sogou revenues were $41 million, up 78% year-over-year and 10% quarter-over-quarter. Online games revenue were $159 million, up 29% year-over-year and a 5% quarter-over-quarter. Non-GAAP diluted EPS were $0.73, exceeding the high-end of group guidance by $0.08. For the full-year of 2012 record total revenues and record revenues in brand advertising; Sogou and online game businesses. Total revenues were $1.67 billion, up 25% year-over-year. Net brand advertising revenues were $290 million, up 4% year-over-year. Sogou revenues are $131 million, up 108% year-over-year. Online games revenue were $575 million, up 32% year-over-year. Non-GAAP diluted EPS reached $2.54. Now let me discuss our online video business first in more detail. In the fourth quarter, Sohu Video maintained its leading position by offering a differentiated content portfolio covering the most popular content including American TV drama series, domestic variety shows and in-house produced programs. For American TV drama series our collection has undisputedly put Sohu Video as the number one destination for this most sought after content categories. Just to name a few; the Emmy award winner Homeland, Breaking Bad, Modern Family, and the like. We are seeing growing popularity of our American TV channel with accumulated video views jumped 136% as compared with that of the third quarter. Demographics of American TV series viewers is that we typically have higher educational background and taste of life and our targeted consumers of high end advertisers such as luxurious goods and automobiles. In as early as mid-2012 we were quick to predict that variety show content would be another hit category for both TV and online video. Following the Voice of China (Foreign Language) launched last summer we secured China's Got Talent, Talent Show, on an exclusive basis during the fourth quarter. It quickly became one of the nation's most popular shows. And in last December, we won the most enviable role as exclusive online broadcast partner and the Sohu strategic new media partner for The Voice of China 2013. By way of background, in 2012, The Voice of China ranked number one on a national wide prime time TV rating for 13 consecutive weeks. We are enthusiastic about this strong pull in our user traffic and advertising revenue, as well as an extended brand awareness that this show will bring to Sohu Video and Sohu Group as a whole. Turning to our in-house produced content, we proved that our D&A in the entertainment industry give us the competitive advantage to produce content that best fit to the taste of online audience. Our in-house produced (inaudible) is a great example. It was an instant hit on the Internet and the viewership is at the same level of a popular TV drama series. We plan to continue this strategy going forward. Looking out 2013, in addition to the momentum in the above content category, we intend to maintain our leading position in domestic TV drama series. To date we have secured the exclusive rights for 14 TV drama series as demonstrated by our solid track record in content selection, we are confident that our 2013 content pipeline will continue to attract user engagement throughout the year. On the sales front; in 2012, we completed the establishment of our dedicated video sales team and the transition was most. We already achieved initial success of our fully functioning sales team as the business resumes on growth track in the fourth quarter. Belinda will provide more details on these developments in her remarks later. In short, given the strategic importance of the video business, our commitment in this segment remains unchanged. With our appealing differentiated content portfolio, improved monetization capability and the full force sales team, we expect the full potential of our video business will be unleashed in 2013. Moving on to our Sogou business now. Throughout 2012, Sogou made impressive progress in product innovation across its platform for both PC and mobile users. On the PC side, we released the intelligent version of Sogou Pinyin. Despite Sogou Pinyin’s already dominant market share of over 80%, the newly released version pushed out Sogou Pinyin's daily active user by 23% year-over-year, further solidifying its dominant market position. On the mobile side, Sogou launched its voice assistant and the mobile version of the Sogou Browser in November last year. Sogou voice assistant is the first Siri-Like product in China. This intelligent and user friendly product offers voice based interactive personal assistant services and fundamentally simplifies Chinese users ability to complete tasks on smartphone devices in China. We also successfully incorporated a priority voice recognition technology into the latest mobile version of Sogou Pinyin which bring the monthly active user of the Sogou Pinyin mobile version surpassed the 100 million mark, a remarkable achievement for our core product. We believe our dynamic product offerings no doubt helped us to gain a strong foothold in the mobile internet market. Our new and improved product and services have been well received by users and we have seen continuous expansion in user base. According to iResearch on a standalone basis, Sogou users exceeded 400 million in December 2012. With 285 million weekly active users and 188 million daily active users, Sogou has elevated its market position as the third largest Internet company in China in terms of user base. Driven by increased traffic and improved monetization Sogou revenue once again achieved outstanding results in 2012, surpassed the $100 million mark and growing 108% year-over-year. Looking at 2013, we now have a clearer roadmap for product on both PC and mobile platforms. We will continue to center our strategy on product innovation and service improvements. With the solid foundation we built in 2012, we expect Sogou to sustain its healthy momentum and to further expand its presence in the Chinese Internet sector. Moving on to Changyou business, for MMO games, our flagship game Tian Long Ba Bu, TLBB continues to deliver record revenues. Following the release of our annual major expansion pack in October, we saw a pick-up in the average playing time and spending levels of advanced level players. Meanwhile, we also saw higher engagement levels from our more casual players and a reduction in a number of low spending players. We expand to continue with this player segmentation strategy in 2013 by reinforcing player loyalty across all levels to further extend the game's life cycle. In 2013, we expect to release four expansion packs for Tian Long Ba Bu, which includes one annual major expansion pack. For web games, in the fourth quarter, DDTank and the Wartune, continues to be two of the most popular web games in China. These two games now account for around 20% of our online game revenues, up from over 15% last quarter. For Wartune, we saw strong growth from overseas market during the quarter and we are working to bring the game to more countries overseas in the next few quarters. In addition, we are currently working on the mobile version of Wartune that will allow the game to be played synchronously on multiple devices. For our pipeline 2013, we plan to launch at least three new MMO games and a number of web games and the mobile games. These games will include martial art role playing games that we have a great track record of making as well as games in other general created for demographics of users, for new demographic of users. In conclusion, we made solid progress in 2012 in our core online games and the online advertising business. Our progress reflects largely on working culture that plays the needs of our gamers front and the foremost in what we do every day. It had led us to achieve a leading position in each of the markets we compete in. With the achievements to-date and the new talents that we have acquired and trend over the past year, we believe Changyou is well positioned to take advantage of the many growth opportunities present in China online games industry going forward. Now, I will pass the call over to Belinda for an overview of our brand advertising business. Belinda?
Belinda Wang: Hi, thank you, Charles. The data shows that the number of visitors and the page views of Sohu.com homepage both grew about 25% in the past 12 months, demonstrating our position one of the most influential online media in China. In the fourth quarter, our brand advertising revenues were at the high end of our prior guidance. This was mainly due to solid performance from the auto, online video and the real estate sectors. We previously expected our first fourth quarter for the auto industry, as Japanese car makers would be cautious with their marketing promotions. Nonetheless this negative impact was largely offset by the growth in marketing spending among non-Japanese car makers. For, online video with our dedicated sales team now in place, our monetization capabilities have improved. In addition to good FMCG client coverage in the third quarter, we started to engage with more non-FMCG clients in the fourth quarter. Total number of clients also grew by 18% quarter-over-quarter. We expect the sales growth momentum in our video business to continue in 2013. For the first quarter video revenues should achieve double-digit sequential growth backing the trend of the first quarter typically being the slow season due to the Chinese New year holiday break. We are now in discussions with key advertisers and agencies about '12 and '13 full year budgets and have received encouraging feedback thus far. Based on the current information for the first quarter of '12, '13 we expect for Sogou Group including 17173 brand ad revenues before tax to be between $86 million and $88 million, net brand ad revenues to be between $78 million and $80 million despite a sequential decrease of 2% to 5% (inaudible). Now, I will turn the call over to our Co-President and CFO, Carol Yu, who will walk you through the quarter's financials. Carol?
Carol Yu: Thank you, Belinda and hello, everyone. I will now take you through our financials for the fourth quarter. One, revenues; total revenues were $299 million, up 22% year-over-year and 5% quarter-over-quarter. Brand advertising revenues were $82 million, up 6% year-over-year and 5% quarter-over-quarter. Sogou revenues were $41 million, up 78% year-over-year and 10% quarter-over-quarter. Of this, Search related revenues were $30 million, up 68% year-over-year and 10% quarter-over-quarter, the number of Search customers and the average spending per customer, increased by 37% and 33% year-over-year. Online games revenues were $159 million, up 29% year-over-year and 5% quarter-over-quarter. Wireless revenues were $13 million, a year-over-year decrease of 13% and quarter-over-quarter decrease of 12%. Now, let me provide some more details with our other financials. From now on, most of the figures discussed will be on non-GAAP. As a reminder, you can find a reconciliation of these non-GAAP measures in our official earnings release. Two, gross margins; non-GAAP gross margin in the fourth quarter was 69%, compared with 66% in the previous quarter and 71% for the same period last year. Three, operating expenses; non-GAAP operating expenses for the fourth quarter of 2012 totaled $138 million, an increase of 40% from the previous quarter and an increase of 46% from the same period last year. Both year-over-year and quarter-over-quarter increases were primarily due to an increase in salaries and compensation expenses as a result of increased headcount and higher expenses associated with marketing and promotional activities. Four, operating margins; non-GAAP operating margin was 23%, compared with 24% in the previous quarter and 33% in the same period of 2011. Five; income tax expense. GAAP income tax expense was $20 million. Excluding a non-cash income tax expense of $2 million recorded for the utilization of tax benefits from excess tax reductions related to share-based awards, non-GAAP income tax expense was $18 million, flattish with the previous quarter. Six, net income; before deducting the share of net income pertaining to non-controlling interest, non-GAAP net income was $57 million. Non-GAAP net income attributable to Sohu.com Inc. was $23 million or $0.73 per fully diluted share. Seven, net margin; non-GAAP net margin before deducting the share of net income pertaining to the non-controlling interest was 19% compared with 21% in the previous quarter and 31% in the same period of 2011. Eight, moving on to the balance sheet and cash flow statement. As of December 31, 2012, net accounts receivable was $98 million compared with $98 million at the end of the third quarter of 2012. Brand advertising DSO for the fourth quarter was 53 days compared to 55 days in the previous quarter and 58 days in the fourth quarter of 2011. For the fourth quarter, we generated about $122 million in the operating cash flow. Changyou generated $101 million, while other business units generated $21 million. Nine, our outlook for the first quarter of 2013 is as follows; we are expecting total revenues to be between $290 million to $299 million, brand advertising revenues to be between $78 million to $80 million, this implies a sequential decrease of 2% to 5% and an annual increase of 28% to 31%. Sogou revenues to be between $34 million and $36 million, this implies a sequential decrease of 12% to 17% and an annual growth of 50% to 59%. Online games revenues to be between $160 million to $165 million, this implies a sequential increase of 1% to 4% and an annual growth of 26% to 29%. Before deducting the share of non-GAAP net income pertaining to the non-controlling interest, non-GAAP net income to be between $46 million and $49 million. Non-GAAP net income attributable to Sohu.com Inc. to be between $19 million to $21 million, and non-GAAP fully diluted earnings per share to be between $0.50 to $0.55. Assuming no new grants of share-based awards, we estimate that the compensation expense and income tax expense relating to share-based awards to be between $3 million to $4 million. The estimated impact of this expense is expected to reduce Sohu's fully diluted earnings per share for the first quarter of 2013 under U.S. GAAP by $0.09 to $0.11. We are delighted that in 2012 the efforts made by each of our business units syncs into their respective market positions. Looking forward into 2013, we’ll continue to invest in key initiatives to capture the great opportunities ahead of us. This concludes our prepared remarks. Thank you for joining the call today. Operator, we'd now like to open the call to questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. And your first question comes from the line of Dick Wei from JPMorgan. Pleaseyou’re your question.
Dick Wei – JPMorgan: Hello and thank you for taking my questions. If I just look at the portal business only, I wonder, how is the mobile usage impacting the PC traffic at the key verticals, for example, on News BYD F8 or video, is there any difference? Also given the limited inventory on mobile, how should I be thinking about ad rate and ad revenue for the PC portal going forward?
Carol Yu: On pricing, I’ll take that.
Charles Zhang: Okay. So, let me answer the first part of the question. I think the mobile traffic for Sohu News and content had an indirect impact on the traffic on the PC platform. It's by having higher awareness of Sohu's content. More people will come back to PC, when they are by their PC, when their PC are nearby. So when they are using the PC, so it's indirect, but we do have news and content improvement itself that and also the improvement of its layout and its other channels that helped us to achieve a 25% growth on the front page of the Sohu traffic on the PC platform. Carol?
Carol Yu: On the advertising rates. As usual increase our rates every two year, every two quarters, so we intend to do the same. On the video side, the increase will be a bit more dramatic, it could be north of 30% up to 50%.
Dick Wei – JPMorgan: Okay, great. So, this cannot much impact on the PC traffic. Maybe if you can share what is the percentage of mobile traffic now on the portal?
Charles Zhang: Well we said the 25% on the front page doesn't include the mobile traffic.
Carol Yu: The 25% is an increase in UVs.
Dick Wei – JPMorgan: And if I look at percentage of mobile traffic as total, what would it look like?
Charles Zhang: No, we didn't give out the mobile traffic number.
Dick Wei – JPMorgan: Okay, thank you very much.
Operator: Thank you. The next question comes from the line of Eddie Leung from Merrill Lynch. Please ask your question.
Eddie Leung – Merrill Lynch: Good evening, thank you for taking my questions. My question is more on the margin trend. If you could share more colors first on the margin trends of portal business in first quarter 2013. It seems like by deducting the forecast of Changyou, seems like the margins of portal would drop quite a bit in the first quarter, so besides normal seasonality is there any factor that would be watchful? Thank you.
Carol Yu: The increase in both cost of revenues as well is maybe due to the bandwidth, additional bandwidth cost that comes with additional traffic, especially on the video side. And then the overall increase in OpEx is really related to headcount increase, compensation benefits across all business lines.
Eddie Leung – Merrill Lynch: Carol, can I have a follow-up question on your comment on the bandwidth cost? It seems like usually when we look at the bandwidth cost there could be some operating leverage into the following quarters, because usually portals with high bandwidth in-house, right?
Carol Yu: Yes and no. If our bandwidth is the consumption rate is higher. So we do expect of course, we did say that we have secured the Voice of China. So, we will expect another big jump in bandwidth cost in the third quarter, when we see the traffic coming in from that very hit show.
Eddie Leung – Merrill Lynch: Now, that’s very helpful, thank you.
Operator: Thank you. The next question comes from the line of Ming Zhao from 86Research. Please ask your question.
C. Ming Zhao – 86Research Ltd.: Thank you. And I also have a follow-up question to Eddie's question. So, implied in your guidance, a very significant cost increase due to the content cost for the video, and also if you look at the product development expense and market expense in the fourth quarter that did it go up. So my question is what is the major spending there, are they going to continue into the future quarters? Thank you.
Carol Yu: As I have explained, the major increase in cost and spending for Q1 is relating to bandwidth and HR related cost, so that would go into the rest of the quarters. And what's your earlier question, Ming?
C. Ming Zhao – 86Research Ltd.: I am just trying to understand if the video content cost is going up as you are acquiring more and more exclusive content?
Carol Yu: Yes. We do expect to increase our content acquisition for the year of 2013. In the last year, our total content acquired for programs that were launched during 2012 is about $60 million. We do expect that number to go up to $70 million to $80 million for 2013, but with our improved monetization, we are very comfortable with that.
C. Ming Zhao – 86Research Ltd.: Just to clarify, the content cost to last year was $70 million to $80 million?
Carol Yu: No, last year it was $60 million and 2013 we are budgeting for $70 million to $80 million. But that's the contract value, not the amortization value.
C. Ming Zhao – 86Research Ltd.: That's cash flows?
Carol Yu: Contract value.
C. Ming Zhao – 86Research Ltd.: Okay, all right. Contract value. Okay, all right. So what about the expenses in R&D and marketing and sales, in the fourth quarter there is a significant increase there? Can you comment to what has led to that kind of increase and are we going to see this continue going forward?
Carol Yu: We always have very strong emphasis on R&D and you are looking at it on a Group level so both Changyou and Sogou and Sohu are all putting in lots of product innovation effort. So yes you will be seeing that throughout the year. And Ming you have many follow-up questions already.
C. Ming Zhao – 86Research Ltd.: All right, thank you very much.
Operator: Thank you. And the next question comes from the line of Alicia Yap from Barclays. Please ask your question.
Alicia Yap – Barclays Capital: Hi, good evening everyone. I just have questions on video related it maybe a few sections of it. So just wonder, if you could share with us how you see the online video landscape going forward? Do you think the market could accommodate several players where you certainly have several choices or do you anticipate further market consolidations? And then just quickly on you previously commented that you expect the video business to achieve profitability in about 18 to 24 months do you still expect to achieve that target? Thank you.
Charles Zhang: Well, the first part of the question, I think, for video business, it’s most parties really media business, so it can unlike the social network business actually winner takes all you actually have, actually kind of accommodates quite a number I feel players at the same time to survive. I think now there are already this several leading video players and I think these are the players that will last for the future. And…
Belinda Wang: Alicia what's your second question again?
Alicia Yap – Barclays Capital: Second question, you previously mentioned you target to achieve profitability for the video business in 18 to 24 months, so do you still expect that target to be met or maybe achieved earlier?
Belinda Wang: We expect that target to be met. I still maintain 18 to 24 months.
Alicia Yap – Barclays Capital: Okay, thank you. I’ll get back to the queue.
Operator: Thank you. The next question comes from the line of Philip Wan from Morgan Stanley. Please ask your question.
Philip Wan – Morgan Stanley: Hi, thanks for taking my question. First of all, your first quarter guidance implied pretty strong brand advertising outlook. Could you break down the growth between online portal and online video? And then my second question is about your Sogou business, could you share with us how many advertisers you have for the pay-for-click service this quarter and also the competitive dynamic in the pay service market especially assets sequestering and meaningful traffic market share and your traffic acquisition cost trend if possible? Thank you.
Belinda Wang: I will take the first question. Like what we have said, we are seeing very strong traction for the online video business going into Q1 upon our accomplishing our dedicated sales team. So and then we already gave out all the quarter-to-quarter and year-on-year increase for that segment which is, we expect the year-on-year growth for video in Q1 would be north of 70%. So and then for the other segments, we expect a traditional seasonality for the portal business, ex-video. And then we do expect a stabilized stream of revenue from our real estate business. And then we do see some seasonality again in our 17173.com, the games portal. (Foreign Language)
Carol Yu: So for advertisers for Sogou, in 2012 Q4 we have 39,800 advertisers with the quarter-over-quarter 10% increase and a year-over-year 37% increase. (Foreign Language)
Carol Yu: So from the Search query front for Q4 we have 71 million Search queries and up 1% quarter-over-quarter for our competitors in the market they haven’t announced disclosed such information. That's it.
Operator: Thank you. The next question comes from the line of Jiong Shao from Macquarie. Please ask your question.
Jiong Shao – Macquarie Research: Good evening, thank you for taking my question. My question is on Sogou, given the new entrants in the Search business, I was wondering could you talk about what do you see comparatively in terms of your market share? For example, are you experiencing any kind of market share loss because of the new competitor and what's your long-term strategic goal for this division is IPO, sometime in the near-term horizon? And also related to Sogou, your guidance if I remember correctly, you are guiding Q1 to be down 13% to 17% sequentially. That seems to be a little bit worse than your leading competitor typically seen in the past for Q1 seasonality. I was wondering, what are the differences in your Search business versus theirs, sort of indicating why that's a bigger sequential decline for the Search business? Thank you. (Foreign Language)
Belinda Wang: Okay, so, for the Search query, typically, it comes from the Search front and then also from the browser effect. So in the 2013, we'll in-force our growth in the browser effect to secure our Search query growth. (Foreign Language)
Belinda Wang: We don't have a timeframe, timeline for the IPO.
Charles Zhang: I want to add one point, just want to expand more. I think the although there is a new entrance, a new competitor enter the market for Search, actually it's really competition not about Search, it's really about the browser, if you have the larger higher browser market share then you have better entrant access and gateway for Search. But the browser market competition has been not just half a year, but has been several years that Sogou has been competing effectively with competitors. So we are very confident that we will continue to compete with our expanding Sogou Pinyin market share and also the Sogou browser's competitive advantage which mostly above its innovation and its superior technology.
Jiong Shao – Macquarie Research: Thanks, Charles, for the additional comment. (Foreign Language)
Belinda Wang: So typically if you are looking at our competitor Baidu of quarter-over-quarter for Q1 experienced about 10% sequential decline as well, so I think we are at par with the industry on this aspect.
Jiong Shao – Macquarie Research: Okay, actually, I don’t think, they saw that kind of big decline, but anyway, okay, thank you.
Operator: Thank you. The next question comes from the line of Mark Marostica from Piper Jaffray. Please ask your question
Mark Marostica – Piper Jaffray: Yes, thank you for taking my question. I want to go back to the comment on the increase of acquisition costs for contents for online video for 2013, and get a sense of your strategy as to where you intend to invest those incremental dollars. What areas in terms of online video content do you feel that you will look to invest in 2013?
Charles Zhang: Well, we'll continue to, we already secured our, basically, since we have considered it our core products, which is our TV episodes. The TV episode includes both, domestic, I mean, Chinese TV episode and also American ones, and we've been able to secure very good flection. You can see our track record that we are back on right to the heart, the most popular. This is the traditional core content that we’ll be able add now, the only thing we need to improve and significantly is to really to do a very good marketing job for the best content, best TV shows and both in domestic and international, especially American TV episodes that is our focus. Of course, we also as variety shows, become ever popular on TVs we'll definitely to time our marketing with the TV shows time domestically. So one of the most popular one and significant and most noting is the Voice of China, which is envy of the industry that we got is right. And of course, besides the core TV episodes and drama section, and the variety of shows, the third-party is really the in-house production, which normally cost less, but if we have the right hit, then it could become very, very popular and can get the traffic as equivalent as a very popular TV drama. So it's just that we already have the very good content and now it's really how to market it to let the world know that we have this content, and when everyone coming to our site to view it and also to monetize it better. So…
Mark Marostica – Piper Jaffray: Thanks for the color.
Operator: Thank you. And the next question comes from the line of Wendy Huang from CIMB, please ask your question.
Wendy Huang – CIMB Research: Thank you. My first question is regarding your non-game business. Based on my calculation the net loss for the non-game business was about $23 million and your guidance implied this loss to for the widen to $33 million in Q1. So, I wonder, if you can give some color on the loss breakdown between brand advertising and in also Sogou?
Belinda Wang: Sogou will be a $2 million.
Wendy Huang – CIMB Research: Okay. So, which business is actually resulting that widen loss in Q1 in your guidance?
Carol Yu: Like what I said, it’s the increased bandwidth cost and the salaries cost across the board.
Wendy Huang – CIMB Research: Okay. And also just a follow-up on your Sogou’s revenue guidance, so was that the Sogou’s revenue, is that Sogou’s revenue guidance has anything to do with Qihoo actually started monetization on their search engine in December, and also is Sogou still breakeven? Thank you.
Carol Yu: I just mentioned Sogou is having a loss about $2 million, so we didn’t say that Sogou is breakeven. And as we explained, this is typical. The seasonality, accounts mainly for the drop of revenue from Q4 to Q1. We're still expecting a strong 2013 ahead of us in terms of our Sogou revenues.
Wendy Huang – CIMB Research: Okay, thank you Carol.
Operator: Thank you. And our next question comes from the line of Jialong Shi from CLSA. Please ask your question.
Jialong Shi – CLSA: Hi, good evening, thanks for taking my question. Could you kind of repeat for your brand advertising business, which sector sold the finest growth in 4Q and how is the trend for your order ads in 4Q and into 1Q? Do you expect a recovery in the ad spend by Japanese auto advertisers. Also just very quickly, could you give some colors on the amount of sub-licensing revenue and the related content cost in the past 4Q? Thank you.
Carol Yu: Like what Belinda has said on the call, we previously expect a very soft quarter, from the auto industry in Q4, but we actually see non-Japanese cars making up for the loss that we expected for the Japanese cars. So that's what happened in Q4. And Q1 is a very typical quarter for the auto business, so we are expecting a downward trend in Q1 and then what's your other question?
Jialong Shi – CLSA: Your video sub-licensing revenue in 4Q, and the related content costs?
Carol Yu: The sub-licensing is about $1 million and content cost is relating to the sublicensing agreement is already included in our content costs on an overall basis.
Jialong Shi – CLSA: Thank you.
Operator: Thank you. And next question comes from the line of Mi Zhou from UBS. Please ask your question.
Mi Zhou – UBS: Thank you for taking my question. My question is about what is the status of your conversion from a time based pricing model to a CPM based model for your video advertising? I also want to know, what is the diluted shareholding in Sohu Video now? Thank you.
Carol Yu: We have always been using the CPM model already, so there is no such as the conversion. The bulk of the advertising that we are selling today are on CPM basis, if it is pretty role. But obviously, we do have other advertising slots on our webpage which is still somewhat based on time. And up to now Sohu Video is other than a few percentage points giving out to employees, Sohu owns substantially all of the shares.
Operator: All right, thank you. We’ll move onto the next question and it comes from the line of Chi Tsang from HSBC. Please ask your question.
Chi Tsang – HSBC: Good evening, thank for taking my question. I had a couple of questions. In terms of Sogou can you help us understand the traffic mix between desktop and mobile, and I am curious about sort of the mix and also sort of the growth rate, please, hello?
Carol Yu: Yes.
Charles Zhang: Yeah, we are here yeah.
Chi Tsang – HSBC: Okay. (Foreign Language)
Carol Yu: Okay. So we have seen a quite substantial growth as increasing speed in the traffic growth for the mobile front. And for, while compared to the PC front, it doesn't have the sizeable, I guess monetization base as of yet. I think currently, we are still focusing on working with our advertisers and then later on, we will come to the monetization part.
Chi Tsang – HSBC: Can you say what percent of traffic does a mobile is in portal traffic and search?
Carol Yu: Less than 10%.
Chi Tsang – HSBC: Less than 10%. Okay, great. And my second question is, I am curious what your headcount was at the end of last year and what your expectations are for headcount growth for 2013. Thank you very much.
Carol Yu: Are you talking about Sogou?
Chi Tsang – HSBC: No, total group level?
Carol Yu: Okay. We are right now about 5,000 people and we expect to be increasing by about 15% to 20% in 2013.
Chi Tsang – HSBC: Thank you.
Carol Yu: Ex-Changyou.
Chi Tsang – HSBC: Understood.
Operator: Thank you. The next question comes from the line of Fei Fang, from Goldman Sachs. Please ask your question.
Fei Fang – Goldman Sachs: Hi, thanks for taking my question. Very quick on video, on the cost side, are you seeing rapid content cost inflation in the video content market on a per unit basis. And if so, is it driven by any particular competitor, and also who do you view as some of the most aggressive content buyer in the marketplace? Thank you.
Carol Yu: We are seeing an overall stabilization in the content prices, especially compared with the escalation that we sold in 2012. Obviously, there will be some top notch content launched, which is sought after by all players and those prices will be on a very extraordinary basis be still a pretty premium prices. And then for aggressive buyers I think for these very premium content, everybody will be aggressive buyers, so I will think one or two companies.
Fei Fang – Goldman Sachs: Thank you.
Operator: Thank you. That's all the time we have for questions. Thank you for joining and I would now like to hand the conference back to Tip Fleming of Christensen. Thank you.
Tip Fleming: Thank you everyone for joining our call today. If you have any further questions, please don't hesitate to contact us or the Company directly. Thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.